Christopher Lewis Coleman: Ladies and gentlemen, good morning. Welcome to Randgold's Second Quarter Results. Few words from me before handing over to Mark. Another good quarter has positioned Randgold very well at the mid-year to achieve the targets that it set itself for 2017. This is a commendable performance, particularly when considered in the context of an operational environment that remains challenging for the mining industry, including in Africa. The continuing state of global geopolitical flux is impacting on Africa as well with public policy not always directed at building prosperous economies but instead sometimes focus on shorter term political interests. For the mining industry, it is essential that the host governments have a longer term perspective and can provide the stability required to encourage the necessary investments that generates the jobs, taxes and many other benefits. Now critical tested with is the approach the country has taken to their mining codes, where recently there has been a trend towards codes being put under review or key provisions being disregarded. In these circumstances, it is more important than ever for Randgold to demonstrate the value of partnerships and the importance of long-term mutual commitments with those governments. This also makes effectively by sharing the substantial value it creates with those shareholders and through programs that make a meaningful contribution to the communities around its mines, thus strengthening its social license. So with no further ado, I will now hand over to, Mark, who will tell you more about this in the course of his presentation on the second quarter results. Thank you very much.
Mark Bristow: Thank you, Chris, and again good morning, ladies and gentlemen. As you will recall, we had a very good first quarter this year, first best one for some five years. And quarter two is really another example of the Randgold team being able to build on that performance and deliver on plan. And I think now just to refer to operations, but another key component of today's message is the progress that we've made on the exploration front. And I've actually just come back from annual trip with the geologists through all our exploration operations and I'll share with you some of the current results and just upfront, I'm very excited about us being able to deliver this on the three and five objective that we shared with you just under a year ago. As Chris has noted, it's not always plain failing operating and developing goldmines in Africa but with our African roots and our experience and seasoned in-country management teams, we remain well equipped to engage with our various stakeholders and manage our business in a sustainably profitable way as I hope I'm going to demonstrate to you this morning. I'll start as usual with our safety, health and environmental scorecard. And sadly have to report that our excellent safety records, which we've really being delivering on for consistently now for some time, was blemished by a fatal accident involving two drivers at one of hauling contracts at Kibali in the quarter. In fact it's worth nothing that all the safety issues for the quarter, both at Kibali and at Tongon were associated with contractors. And it's not identified of course if there is any less of an incident if it's under contract that we carry that responsibility in our organization in an incident like that. But needless to say we take it very seriously. We suspended that particular contractor and we've audited all of the safety practices, our safety practices, the contractors across the group safety practices and procedures and we've tightened up on there where necessary, we're instituted retraining for the whole group, and in particular the contractor involved in Kibali, we suspended this contract and we'd only now at a point where we are satisfied we can reach commence this work having rewritten, retrained everyone in that organization. And we did the same across the group with our own managers and supervisors. I would add that Loulo-Gounkoto and Morila, all experienced zero loss-time injuries, so that's a little bit of good news in a bad news quarter. And it's worth pointing out as well that our drive on safety is showing results in that if you look at the first six months of last year against this year, our total injury frequency rate, so any incident we record because that's the measure of where you're going, is down 40%. So again that's something that we can build on and intend to do so going forward. Turning then to the results for the quarter. You can see that we delivered a good performance, in line with our guidance. Profits and production were up both quarter-on-quarter, half-year-on-half-year. And total cash costs continued to come down. Loulo-Gounkoto produced another strong set of results. Tongon continued to improve. Kibali is gearing up for the final underground ramp-up, and Morila completed the Domba permitting, which I'll tell you more about later. Our brownfields, as I indicated in the introduction, and exploration teams found resource extensions, so we shall put visibility on reserve replacement going forward. And the greenfield guys are working on some very exciting new targets led by Fonondara in the Boundiali permits and Gbongogo in Mankono permit in, both in the Ivory Coast. And these are the numbers. And if you look at the trends from June 2016, they are all comfortably heading in the right direction. And I'll draw your attention to the cash line, where you can see that even after paying a $94 million dividend, our annual dividend, and making income tax payments in this last quarter of $59 million at our subsidiaries, our money in the bank at the end of June is over $570 million, more than double what it was a year ago. As usual, I'll start with the tour of the operations at the Loulo-Gounkoto complex, which increased production and reduced its total cash cost per ounce to $458, a 14% decrease on the previous quarter and a new record low. With the operation running smoothly, we're stepping up our exploration efforts on both permits with encouraging results, and I'll come back to that. The numbers here quantify strong performance with improvements on every line, resulting in a significant increase in profits from mining. And really the driver here has been a little lift-up in throughput and the consistently high grades. We always guided a strong first half. The second half of this year will be lower. And about 170,000 ounces a quarter just to give you a heads up on that. That's all on the back of grade as we - underground fills are going to be good and I'll touch on that just now. That's all as we prepare the corporate cuts for big the pushback and the super pit mining. Turning to Loulo stand-alone. So this really led the complex's performance our two underground mines, Yalea and Gara. Increased production on the back of the greatest throughput and better grades with improved underground logistics and materials handling efficiencies also planning the mining team as you're aware that we've been at it going on two years. The gold production ratio, as we always talk about is 60/40 from Loulo and Gounkoto, which slightly in Loulo's favor this quarter. It's been in Gounkoto's favor for quite a while, as I said, as we managed the Gounkoto positioning for the super pit. And this is again where we stand as far as quarter goes. The results show that the combination of higher production at a lower cost producers produced 32% quarter-on-quarter and through some profits from mining. And really the big driver was the fact that we - our development is on track and with both the flexibility in the underground operations, we're on top of the backfill. So all of those little building blocks that keeps an underground operations operating profitably, and of course we've got the grade. As I pointed out, the exploration teams continued to convert the focus of part of the program to replace mine depletion. And where you've been working on a very significant high grade punching zone, as you can see how the whole payability of the Gara ore-body plunges through the south, and right now we added 500,000 ounces into the reserve last year and we've got another 500,000 ounces in our stocks and then we will - we expect to take that substantial part of that to the indicated categories. Likewise at Yalea, drilling is the potential for the southern extension of the high grade at depth and drilling is underway to follow up some of these significant results, recent results if you see highlighted in this slide. And it confirms again this is going to add some particularly important flexibility through Yalea and the ability for us to mine bottomless bottom-up, which is always a low cost option to mine these ore-bodies. As I shared with you last quarter on the greenfield front, we have defined an extension of the main structure that hosts the Gara, main Gara deposits, across the Kossanto-Sitakili dyke - a long story about this stuff [indiscernible]. But north of that we picked up the mineralization. We've traced it for some eight kilometers but we've selected at treating and now we've selected a 2.5 kilometers south way. We think it's most favorable to - in appearance to the Gara. And Gara, it's difficult ore-body to evaluate and we're just started in fact to drill on the fact this week. We will be filling with that definition of exploratory drilling initiative across that 3.5 kilometers. And if we draw out for a bigger picture of the permit area, it's clear that there is no shortage of other prospects including advanced projects such as Loulo 3, Yalea, Falémé, PQ10, and of course the old Loulo 2, which we've been testing off and having another look at as we are understanding of the geology progresses. Gounkoto then, contribution to the complex. Complex is mixed with Gian, as I indicated, slightly in line with plan. The big focus here was on holding an old stockpile and which the mine can draw on the next few quarters as the first phase of the super pit push that gets underway. And this you'll see in the numbers, the particular points you need to notice. If you look at ore tons mined, we mined over a million tons but we only processed 579 because we are pulling up the stockpiles to be able to have that flexibility going forward. And of course as you see, that means that the strip ratio was relatively low that impacted the costs and the costs was so very attractive, even though we didn't process the all gold that we had actually mined and rather put it on the sector. And as in the Loulo permit for this is also continues at Gounkoto where we're tracing the main controlling structure and a big structure called the domain boundary. And this is a significant structure because if you drill through the rocks on either side are completely different. So it's a big fault. So you can able to really identify. And it's interesting - give some interesting geological information. If you look at the Sanoussira, the target, down on the left-hand red structure at the bottom of this slide, we actually drilled a hole there long before we found Gounkoto, as did we locate P64 on the top end of the same structure. And there was only a few years later that we found the real ore-body in between those two holes. And it's only recently that we've realized the importance of those two intersections because they are in the same structure as the structure that hosts the Gounkoto project. So the big focus now is to define that structure. We just had quite a significant intersection about 15 meters at nine or 10 grams, and on that structure it's a very complex structure that it does open up and there is no outcrop in this area, so kind of by the Falémé River region. So moving out even further to view the Kedougou-Kenieba Inlier. It is clear that this isolated wedge of Birimian rock has produced some amazing discoveries. The Senegal, Mali and Côte d'Ivoire is a particularly prospective structure that has produced a number of world-class deposits like Sadiola, Yalea and Gara, Gounkoto, Loulo and many other smaller deposits like the Loulo 3 etcetera. And we have no doubt, as I've just indicated to you, that there is still more opportunity to discover along this main structure and the same goes for the Massawa project in the west of Inlier, where we got the main trans-current share zones indicated in blue. And Massawa, which is located in Senegal on this structure with the satellite, Sofia, is starting to - or it continues to take shape as one of our three and five prospective projects. We've now got three of the four bulk samples drilled out. One of the things that we are doing with Massawa is we are proceeding with plant bench scales test work on the complex mineralogy, the Massawa deposit itself. We've learnt a lot from Tongon. We don't intent to make the similar mistakes because we really good at understanding of the metallurgy circuit well before we finalize the feasibility study. We continue with the optimization test work, the floatation test work of the different styles of mineralization as well as sterilization drilling and the various permitting and environmental and social baseline studies. So the whole feasibility program is ongoing. On top of that, we continue to look for more answers, as you know, we're a bit under our magic 3 million mark. So this quarter was pretty good and that we've extended the Sofia founded by some 600 meters and then some and we just started drilling the 600 meter northern extension and I'll touch on that a bit later. And not only as this adds more ounces but it adds more 3 million gold ounces to the portfolio. And then we've also identified a number of interesting additional projects that might well deliver another game-changing opportunity for the Massawa project. So if we look at the Sofia extensions both to the north and the south, you can see that we've got some particularly good initial results, encouraging results coming out of this target. So we are confident that we'll be upgrading our resources estimates for Sofia going forward. And then to the north of Massawa, we got the Delya project, again a 1.8 kilometers south of high grade opportunity. It's a target we initially discovered right in the beginning and then it was metallurgically quite challenging and we left it. And now with Massawa now and our comfort of being able to process the Massawa, all those - on that the same structure are again prospective and importance in the evaluating. And then we've got a number of other targets that we've been looking at in particular, the Makana target, which happens to be the largest soil anomaly we'd ever seen in West Africa and we're quite excited about that. We're actually going to start filling that deposit again this week. So again, we're - and then taking Massawa to feasibility, one of the key components of that, before as you know 3 million is the number we take to our board and say we've passed the hurdle but as management, we want to have visibility beyond that. So we don't have to have banks but we would feel very comfortable taking it to board and being able to say we've got visibility of additional potential to add to the actual feasibility ounces. Back to Mali, where the Morila team has successfully repositioned itself as a profitable tailings re-treatment operations. We also succeeded in gaining community approval of the Domba satellite project, and mining is scheduled to start after the wet season. It's only a small three-month project but it will strengthen Morila's balance sheet and support its ability to fund its closure as well as its legacy projects and that's the establishment of a sponsored commission funding at the start afterwards. Two other small satellites, Ntiola and Viper, are being evaluated and everything about them points to them being able to extend Morila's mine into 2020. And Morila results are always pleasure to behold in this instance because they show that you can still make a profit when processing material with a head grade from a tailing sand 0.6 grams per ton. At a unit cost I would point out little different from when retreating mineralized wastes, so the significantly higher recovery at similar grades this time last year. Over now to the Côte d'Ivoire, where the investment we made in plant upgrades and extensions at Tongon continued to pay dividends in the form of increased production on the back of higher throughput and recoveries. And there has also been a sustained improvement in power managements. And Tongon is clearly now operating at a steady phase and delivering common numbers we expect from this and we see during the same as in the first half and the second half of this year. And these are the numbers. Again all pointing in the right direction. A slight increase in total cash cost per ounce, which is attributable to a higher strip ratio because we - again going into the rainy season, we've built a big stockpile last quarter and we started taking some of the ore of the stockpile this quarter at the end of the process, so quarter two, and focused in on waste stripping just as we go into the rounds and so we are balanced that through the year but through the year we'll be on plan. And so now that the mine is settled down under strong management team, we have placed one of our better exploration leaders at Tongon in order to take a fresh look at the nearly concession and developed new targets as shown here and we've just started seeing new targets being developed. Any way we're going to find the extensions to Tongon if we keep reinventing and re-looking at the whole project, the whole premise with new sets of [indiscernible] and it's interesting every time we deliver we're trying something new. So I'm pretty sure we should have something to share with you soon. Further fields in Côte d'Ivoire, as I alluded to at the start of this presentation, we continue to build the portfolio of new projects, while advancing our most exciting prospects with some specifically prospective opportunities being defined. These are some of the recent results from these targets with Fonondara and Gbongogo in particular achieving our intention. And so let's just look at Boundiali Permit and Fonondara. It's actually helped to two very big flagships, the southern extension of the main Syama trend, which happens to be one of the biggest deposits discovered in the West Africa, the two undermine and the Fonondara corridor through the east of the green as you see marked here. And recent drilling to the north and south of Fonondara main has identified three new mineralized zones and the significantly extended, the initial main zone target from 1.3 kilometers to eight kilometers, highlighting a real opportunity to move beyond the 3 million ounce conceptual range. And then to RC drilling programs combined with reconnaissance diamond drilling is almost underway at the moment and this is on the Fonondara main targets. And you can see very exciting initial numbers from the drilling and you'll be drilling throughout the wet season, so we'll be able to continue to update you on this project's progress. It's also worth pointing out that the Fonondara shale zone which is a shale zone we'd not confirmed hard rock gold mineralization continuously for 50 kilometers. And 27 of those 50 kilometers has no drilling and very little trenching as well. And then to put it in perspective the other RC trend which is also a structure is 20 kilometers. So we are - and if you take this Senegal, Mali and Côte d'Ivoire I was talking about earlier, that's about 150 kilometers. So it's a corridor. It's not a single structure. But if we just half in this structure as we were in the Loulo-Gounkoto 72 kilometers of this structure, it's certainly the place to continue exploring. Another project we've spoken about for a while and it's taking shape is the Gbongogo project in the Mankono Permit. And if you recall, where the rig slides, it is our first discoveries. We've not delineated about flat one million ounce. We inferred early stage resource in that no thick drop, no grade but very wide intersections, very low strip ratio, very low work index material because it's a Granadara [ph] really to process very friendly metallurgy from all systems. There is hunting of these intrusive and we've had some very significant intersections long and higher grade, much wider and higher grade than those early intersections. What's intriguing is that the improvements that are hosting mineralization are very different to those that pink increases on the slide. And that's a telltale of these big gold deposits is when you get multiple thousand mineralizations, lots of different structures, lots of intrusions and we really - and of course when you get the sort of grades you're getting this, so we're excited about this. And if you just again contextualize this, if you have a million ounces over 300 meters, then you can - and you add another 600 meters then you assume just contextually that you can get a million ounces every 300 meters there and thereabouts. And to the west of this slide, we've got another big soil anomaly, so we are not - we spoiled for options, and again we're very excited about this project and I'm sure you're going to hear a lot more from me and the team going forward. So then skipping across to Central Africa and the DRC. Kibali performed in line as planned, and importantly, it maintained its throughput by the design capacity while continuing to improve recoveries as a front process a growing proportion of sulfide ore and that's quite important because best to last year we had a whole lot of challenges in Kibali as we ran out those 100% sulfide campaign. And so we are pretty confident. I'll show you a slide that's now that we've solved the technical problems and we experienced last year and when I say we were 100% sulfide test. These are the numbers and now this is really. You can see the throughput. This is designed - the designed nameplate of the focusing plant is 7.2 million tons a year and we are ahead of that, so we are ahead of that last quarter and you can see slightly lower throughput because we are feeding, as I'll show you in the next slide, significant amounts of sulfide. Grades still down because we're not short of all but we're just short of high grade ore and the plan is that will come from underground. Recoveries if you look six months and six months, so just quarter-over-quarter from last year, you can see the big step-up in recovery and this is with the complex mix, we haven't changed that. We still - and also harder and harder material. And so looking forward, so Loulo has got a softer backend. Kibali definitely have a big hockey stick finish in quarter four. So Loulo improvements quarter three and then a big improvement and it's all driven by the commissioning and ramp-up of the underground, which brings the extra grade and that's what drives the production in Kibali. As you can see here, and as I referred to earlier, Kibali has been increasing a proportion of sulfide ores process and this is a week-by-week basis. And really has managed and you could see that has managed to be able to continue to improve its recovery even at a lower grade, so because the amount of sulfide is still coming from multiple sources not only underground. So this gives me confidence that we're in good shape. And the key driver behind this performance has been the upgrade of the process, in particular the commissioning of the underground, I mean, the ultra-fine grind lower grades that we added more ultra-fine grind milling and we added more pump cell capacity, huge capacity and the result of that is this. And the leach capacity is only just been commissioned at the end of quarter two, so we expect to see some continuous improvements in the recovery going forward. With the mine now nearing completion, it's also important to look at the status of the remaining capital projects. And as I pointed out to you, the ultra-fine grind capacity expansion is being completed as well as the pump cells being installed. We're also upgrading the tailings detox systems and which is scheduled for completion in quarter three, and Kibali third and last hydropower station, Azambi, is on track to generate its first power in the middle of 2018. And then everything really right now is focused on commissioning and integration of the shaft in underground sections, which is scheduled for full automation during October. So we'll complete the infrastructure in September. Then we have a period that we have to go down at the bottom of this line because as part of our full automation of the crushing, hauling and shaft hoisting, we are paving the bottom haulage level with a very special compound to ensure that we don't have lot of rare on the surface and we need a clean environment to be able to do that and then that takes a couple of weeks, about six weeks to cure and then we'll be off through the process. So we're expecting to finish the actual all the work by middle of September and then be running the shaft by middle of October. And we will also continue to haul out of the lands as well. So we do have a backup there as we manage the transition to the shaft. The Kibali region, this last dry season experienced an extended dry season. And so the mine was to generate more thermal power than usual and with the river now running strongly again, as everything seems to be back to normal, the hydropower has picked up and the reason I put this slide and it's just to reinforce how important our hydro investment is to Kibali. And when all three Kibali hydropower stations are running and we're at full load, we will be running at an annualized basis between 10 and 12, which makes - and this is really what drives the world-class profitable nature of this investment. As at other operations, brownfield exploration continued around the mine and this message shows the specific potential for any resources and reserves and the extensions of the 9,000 and 3,000 loads of the main KCD deposit. And you would remember last year we reinstated some of our reserves and resources as we got our heads around the models and we did indicate that we will be able to bring some back as we drill them up, and we certainly have a lot of confidence to significantly write back our new ounces. And one of the things I will just point out is in the bottom, you will see the Boho KCDU 1014 and 1009. Those are references to specific ore bodies. We've been drilling enough infill reserves drilling and we hit a number of these parts of intersections there and they came as a bit of a surprise in that's the ore bodies must thicker same grade but much, much thicker. And this really does help us a lot in the next, sort of two years of the development because it's right next to the shaft because it's very thick ore-body at very hard grades, very close to the shaft. And so that's another good - and that will also upgrade the grade of those reserves as we think. And 2000 Lode, again we're looking - re-looking at the KCD Pushback. We are starting the Pushback now. That's going to bring some flexibility to the next couple of years and then up plunge 9000 Lode average drill intersection, you can see there is above the reserve grade and the big focus now can we join that last purple to that stream as the same ore-body and every indication is that they should join. So lots of upside. And for me the most important thing is we continue to present to you both at Loulo-Gounkoto and this project rolling flat 10-year plan at about 600,000 ounces making money at $1,000. Looking at the bigger picture, there are lots of opportunities within the Kibali permit and we continue to work on the KZ trend and we've been really focusing on the Kalimva to Mofu zone and we've started joining some of the deposits. That's really been our focus this last quarter. And then we've also followed the KZ zone all the way down into the Mofu permit, which is our own exploration permit adjacent to Kibali. I think before I go to Moku, this is just some of the examples. And the exciting - the thing that makes Kibali so intriguing is the ore-bodies in geometry are very small. So they are hard to evaluate and they are hard to find. Most of the ore-bodies that make up the 10 million ounces in the underground reserve are less than 150 meters cross plunge, so in wet. And this is what we gain to the left of the slide or the left of the slide is the old Agbarabo Belgium mine which produced 700,000 ounces at above an ounce. For those to be understanding imperial system, it's about more than 32 grams a ton. And we have seen up in commission between that and the Rhino deposits and we've done some drilling stepping out. And you can see the numbers are looking pretty attractive. And if we could follow that and join that all together and we haven't quite during the it's going to be - it really does up so it could really tiding up the of sparkling this and then we'll go down and look at it but having a 200-meter wide zone in the KCD package all those well some significant additional mine-able ounces. So then moving onto the exploration greenfields, Randgold's portfolio. The Moto project is away from Kibali has made some progress. We were there with the team. And really we've put this into a proper framework now. We've certainly got the lowest indications of gold mineralizations. It's about how - we've done all the remote work and it's now in the field validation and to build that on that framework that we've been able to create. And in Ngayu we are a little bit ahead having also done all the remote works. In Ngayu it's a tough place to operate, long way away. Infrastructurally challenging. So it's clear that for us to find - for us to be able to develop world-class business, it's got to be big, much more than 3 million ounces. And so we've very focused in on the big anomalies with some very strong structure supporting those anomalies, everything so far has been remote. We've just mobilized the team and we are busy now with the ground validation. Before I close, a quick update on a few of our partnership programs and community initiatives. We place, as you know, a strong emphasis on education because of range for food and shelter is the most basic human needs. The returns on our investments in community upliftment program sometimes cannot always be quantified but in the case of education, we measure. And the best way to measure is in projects and we are very pleased to share with you that our Tongon schools, that's within these eight village that we call the affected area around Tongon, have outperformed the national average with a pass rate at both the secondary and primary school level of in excess of 90%. And I attended their prize giving, as I do with all the mines every year, and it is also gratifying to see that we give prizes to the top two students in each class. And of the recipients 77 top two - sorry, that's a lip slip, yes. Top three students in every class. And of the recipients this year, 77 were girls and 87 were boys. And we've come from a very skewed male-dominated education profile and we've been educating into the community that's important. And this is a predominantly Muslim area of Africa. And that we've seen the same trends in Loulo in West Somali as well. So it's something that we are proud of and just to share with you that we do really stop and invest in the future of the continent of Africa. We also make significant contributions to conservation as part of our offset program and to rehabilitate a mine to a perfect pristine ecosystem. And in Mali, we helped to protect one of the two remaining desert elephant herds on earth. In Senegal we did the same for one of West Africa's last side of line and in the DRC Garamba National Park which is a world heritage site, we have been investing in infrastructure to support the anti-poaching initiative. And with that, I'll close as is customary with a share past compressing chart, which speaks for itself I would suggest. When you look at the performance over five years or the past six months in our opinion, Randgold has consistently maintained its position at or near ahead of the pack and it did not suffer the wholesale value destruction that followed in the wake of the super back of our first 2011. I trust that I've shared enough with you today to confirm our contentions that Randgold remains uniquely well-positioned to deal with the industry challenges and to achieve its ambitious goals of creating real value for all its stakeholders in a sustainably profitable way. And with that, thank you for your attention. And we'd be happy to take any questions.
Q - Daniel Major: Daniel Major from UBS. Two questions. Firstly, when I look at the consensus for your dividends for this year, consequently the cash balance that would imply would suggest the market thinks you're going to do an M&A or carry a cash balance much larger than your $500 million target. Is there any M&A you're looking at on the moment on that gets something like close to your investment criteria?
Mark Bristow: So the answer to that is it depends, as you describe as M&A, but if it means paying a premium for an unprofitable gold asset to the mine. So it's an ongoing very-focused joint-ventures and/or acquisitions. We're certainly focusing on as far as mineralized and opportunity side but we are not talking about chains or even hundreds of millions of dollars. So that's to answer that. The next one down as I pointed out, that these are consensus or analysts approve our dividends. So while the listen the people guess and I don't know where they got that from.
Daniel Major: And my second question is on Massawa. Could you give us some update on your sort of expected timeline for board approval?
Mark Bristow: So we are saying - the board approval, the way it works is the bankable feasibility study and final stuff. We are very integrated company that it's a progressive decision-making. We'd end sort of late and present to a big PowerPoint presentations in the board and hold our breath while they contemplate and even say yay or nay. It's a continuous discussion today. The whole thing is battle, so we are managing and dealing with that. The biggest state and better ounces and lower cost. Mid-next year is the target of time. The decision will come somewhere around that time, maybe even before because most of the time guide this year because we had got strict criteria and we know that once you get through that criteria, it's an automatic decision. The key for us, as I pointed out in the presentation is, for management to deal with - we don't rely on any other person to make that recommendation to develop a mine base other than ourselves, to use lots of expertise. But we don't say independently validated, yes, and we can build the mine. We say our reputation is exactly that decision to build the mine. And with that, the fact is like in Loulo, we've started Loulo with 1.5 million ounces. If you remember we had just drilled those line of both at Yalea and Gara and we were absolutely sure that we will take this underground. And so you had visibility of multi-million ounce reserves. And really that's where we - that's our focus is you listen to my presentation. That's where we are now. The bankability of Massawa there and thereabouts. Can you really show that you will get out of a 3 million ounces and what exactly is the optionality in that project and that's really our focus and it will be our focus for the next three quarters. As far as the nitty-gritty feasibility stuff, those we've already engaged with governments. We are about to appoint - they are about appoint to a joint ministry council so that is a one-stop shop on permitting and process and all that sort of stuff, and our sort of on the feasibility is ongoing but the ultimate decision-maker is the financial model itself.
Daniel Major: Very quickly follow-up next. What sort of CapEx would then imply for sort of 2019?
Mark Bristow: So for 2019.
Daniel Major: You mean you get approval in funding and...
Mark Bristow: Graham, have we got that? Yes, that would be on the top side because we never said you wanted to in the first round.
Daniel Major: Okay. Thanks.
Alain Gabriel: Hi Mark. Alain Gabriel from Morgan Stanley. Two questions, if I may. Firstly on the dividends or the cash contributions for the JV entities. I sense or you injected around $18 million this quarter. I presume that's mostly at Kibali. And has it been spend mostly on CapEx? And the next part of that question is, how do you expect the cash flows within the group [indiscernible] going forward? And the second question is on the VAT [ph] balance in Mali which continues to grow in the quarter. Are you - how are the discussions going with the Malian government around that balance? Thanks.
Mark Bristow: So if you take gold price of the current sort of 1,200 just to answer your second question - the second part of the first question. We're guiding net of dividend as we pay this year, so $94 million that's in our model. So there is around $660 million balance at the end of the year. If you add the $94 million, that's just enough. If you add the $94 million back, it's $750 million cash at the end of the year. And that's everything provided for. So I'm not sure where you're getting anything else but that's what we forecasting to be able to get to everything being equal. So that's the first point on cash flow. Second thing - and so we will sit down with the board as we promised and we'll look at our cash burn maybe if you see what's coming out of that because maybe we want to increase the exploration spend or whatever we want to do against what we guided long-term but at the end of day that review what you'd like to keep and what you'd like to give back shareholders. That's always an interesting debate. The $30 million in Randgold and processing to Kibali and really the reason for it is that we have got this big outstanding to PBA claim - well, claim we have been working with Congolese government on offsetting the taxes to get some of the strategy stuff but number from growing and we've made good progress this last quarter in getting to that point. But at the same time we had a critical stage of our development of the mines and we didn't want the mine to stretch the creditors to a point where they impacted on the capital. And so really it was about managing our creditors and to ensure that we can put maximum pressure on them to deliver these very critical phase in the last two quarters of this year. So that's really the answer to that. We mixed. We've got so cash back from Kibali but we just couldn't tell the exactly because we just thought. Usually in Randgold, it's strict management. There is no money issues in Randgold in one of those. And we make people find the solution and of course one of them is setting the perimeter but [indiscernible] not constructive to a lot of what's happening. What was the other question?
Alain Gabriel: On the VAT [ph] balance in Mali?
Mark Bristow: Okay. So the balance, you want to know the balance?
Alain Gabriel: No, the balance…
Mark Bristow: You just want to know where we are with the discussions?
Unidentified Company Representative: [Microphone Inaccessible]
Alain Gabriel: Thank you.
Mark Bristow: And on the backstay, again we are making progress in our engagement with Malians and the key one - Mali, we're going to offset. So unlike in DRC where you have to negotiate the offset. And so we offset but it's important also to have the correct VAT balance. And so that's where our focus has been in the last short while is getting closer on that and we've made progress on that. Then we can argue about the risk.
Alain Gabriel: Thank you.
James Bell: Hi Mark, it's James Bell at Bank of America Merrill Lynch. The first question is around costs. Some of your peers have been reporting a little bit about cost inflation comes back in. Are you seeing that anywhere in the group? And in terms of Tongon, I guess, what's the mix going to look like going forward, you obviously have the backup power now in place or what's the mix going to be looking for that going forward? And the second question is really around jurisdictional risk. There has been a bit of rise in population elsewhere in Africa obviously globally arguing as well. How do you feel about the DRC here and how can you reassure shareholders that in a scenario whether it's going to be volatility that you don't think operations would be impacted?
Mark Bristow: So costs. Yes, we don't see - we don't plan on stocks. So that's first of all, we don't get a big surprise in [indiscernible]. We have a longer term. When we manage our business, we manage it by $1,000 gold cost and it allows the margin to manage the normal cyclicality of the industry. And also with some of the key components that we are less sure about, we run at it $65 long-term in making our decisions. We haven't - I would be hesitate to suggest and you probably must make the decision is the industry is structuring some grade and it's the first thing that manifest to me costs. No one apart from us talk about cots per ton. And so that's our big focus is cost per ton. That's how we manage our business and of course we worry about dilution. And we have a higher grade profile in most of the industry and this quarter and first half of this year, what's driven our costs down are better grade and also some strip ratio intact. But over the long-term it will wash out and our guidance forward in cash, so that's why we're not re-guiding on the cost side. We fairly want to break $600 this year and there is still upside. We're particularly pleased about the work at Loulo underground with those numbers because I would just remind you that when we took those undermining some of that cash costs move into capital. So you'd rather be careful there is a component, although we've shown significant savings on the price. It's been best thing we've done and we are working towards undermining in middle of next year and you'll see I'm sure, some cost improvements. So seeing anything very up or down. It should meet some of these main supply - equipment suppliers are starting to make noises because they know they are definitely exploited of the market and so you keep thinking that mining industry is building again that we haven't seen a real result in these cycles. And also the whole Chinese play in mining and equipment and particular the parts where it has changed the game because as you know, China, they were the main equipment manufacturer China to manufacture simple consumables. And so we've sent a group of people over there to find out [indiscernible] manufactured. And so they are still finding opportunities to keep up cost and our planned cost rate. And I think that's really - and the other thing that I think that we are seeing that everyone is talking about automation and high uptake and the solutions. While we would argue, we're quite far ahead of this and things like our planned maintenance and our fully real-time decision-making. And so our big focus is how do we get that really working because we've got the platforms. We have real-time data. And with the underground maintenance, maintenance, maintenance and can we get really at the cutting edge of being able to manage our maintenance program in a way that. And we measure tons for running kilometer underground and that captures everything run time in the most and our runtimes in that process. So if you really focused on our process detail, we are concerned about them. We've had the Tongo, Kibali issues and we've really focused and we've seeing the business for that focus. Our next focus is getting that mine really up to a level which is good factor.
James Bell: Okay, thanks. And then just around sort of jurisdiction at risk.
Mark Bristow: You make out the values and the big supplies that is increased risk across Africa. It hasn't changed. It's being up to invest when we first arrived in Mali in 1991, I would argue that all our host countries had a much higher risk than they have today. And so not to underplay the DRC dynamics. This is a country that's had a milestone and its political evolution. The one thing is it slow the function of government would be all the time but makes decision because that's something, there is still [Technical Difficulty] don't and we haven't affected political section in the country. So we don't make it our businesses to position ourselves at all. We have a contract with the state. That's how we see us and that's the way we operate. The Ivory Coast which is dialing at the moment, it has its own set of challenges as it wrestles with its nation-building following the affected civil war. And so they are - and we saw in the beginning of the year how that's - can contaminate the private sector. And Mali is always - everyone asks me what's your most risky destination? I would say Mali because just the country in the world but many challenges but it's a greatest place to work. It's got great people. They are very engaging, very commercial. And our biggest assets are they are close to lot of attention. So I don't - we don't sort of wake up. It's an ebb and flow. I think as the chairman pointed that we are - the whole popular politics because that's what drives it, led by the biggest economy in the world. Everyone looks at Africa and sort of points like a [indiscernible] behavior. And I think sometimes you should turn the finger. We've seen some spectacular popular politics that's completely unsustainable across the globe. And there is less and less focus on Africa and less and less funding available for Africa. There is a whole question around the United Nations and what it does and its protection and African government is not affected. So we are mindful of that and we recognized in our scenario planning which is a core part of our business management that the big drivers in being able to manage public companies in emerging markets over the next five year horizon are going to be politics and social media maybe and the world economy generally, that's the goalpost. So we see a narrow goalpost for quite a while. We're definitely seeing a strong flow for that goalpost but ultimately the shrinkage of the supply will drive the goalpost.
James Bell: Thanks Mark.
Mark Bristow: Thanks.
Luke Nelson: Luke Nelson, JP Morgan. Just on Kibali, can you on the proportion of ore from underground the balance of the year and also you're expected exit run rate from all holes from underground by year end?
Mark Bristow: So I don't have exact numbers. So we expect - let me check. Kibali. So we're remind as I showed you in the slide for the underground drilling and mining [Technical Difficulty] sort of 430,000 tons in the quarter three and that goes up to 800,000 tons in quarter four. And you can bank on that with next quarter between about between 1.7 million and 1.8 million tons, so you need the balance. And our grades for cost going to be around [indiscernible]. And next quarter we're looking, as I said at about 800,000 tons. And that's where the risk and opportunity lies is the last two months of the year because we've got the scopes. We've got the drilled. We are happy we'll get it drilled and would be ready. It's just can you get it all off the line [Technical Difficulty] grade, the fee tonnage we brought down in our guidance to 1.65 million tons and the grade would be somewhere between around 4 million for the quarter. And that's all pre-cash, the ramp-up from underground which affects the grade because the open pit is fairly grade at sort of 2.5-ish.
Luke Nelson: And just one further question on Loulo grades was obviously very strong. So just what should we be thinking of the grades into H2 and 2018?
Mark Bristow: Well, that's sort of normal run rate. Grades most sort of 4.8, 4.9, so that's be closer. And that's really the underground. So Loulo's grade is still steady. That's where the conflict. So the real drop in that. The impact of that is the lower grade feeds from Gounkoto because we built the stockpile and we've got lower grade stockpile, we'll blend that staying into the field and that's what drops the growth in the back half of this year as we prepare for the push.
Unidentified Analyst: Hi. My name is [indiscernible]. My question is if you could see surrounding the cash and very interesting. I mean looking at the financials, it does seem as the cash is becoming return to company and is there any way you can confirm how much of the cash is between in JV and whether or not of joint operations, how much the cash is in Mali or the offset and how quickly reach there?
Mark Bristow: Very quickly. That's the way. Randgold is doing - so Randgold and that's throughout. This is not a postal stamp at post office. It's a real office and the treasure is there. And we don't make to have it in cash in countries. If the company is profitable and it pays back its capital and it's producing profits from Tongon, we pay our dividend and it gets the cash back into our balance sheet. And the way it works under the legislation is you're expected to - like in DRC expected to repatriate at least 40% of the overall revenues back into the country. They do that of course and the stages of development you do more than that and that goes to running at $300 an ounce to $400 an ounce. That's more than - that covers your cost, in-country cost. And so we do that in Ivory Coast. We still haven't settled it exactly the slips, in getting used to having to do that. Mali is slightly different in that repatriation. But again in Loulo-Gounkoto we feel we still make process into Loulo-Gounkoto alone. Sounds like as I say we paid out a big $100 million dividend this last year. And so we distributed and then there is notes at the bank. We put the money back to the shareholders including the host countries. And so no, we don't carry big balance sheets in country because if there is any money that is there to the state, we pay it out. So that's how we manage.
Unidentified Analyst: Hi Mark. This is [indiscernible]. Three questions. Firstly, just at the adjustments you've made to the lower pressuring from there, sitting in at the moment. Do you see any downside pressure on that cost? Is that pretty small?
Mark Bristow: I mean it's a positive. What's happened is - that conveyor as the mine prepared plus big legs in it and what we've done is we [Technical Difficulty] take it out point and then add the length. And then we put in new crusher. So all that is makes it more efficient hoisting system.
Unidentified Analyst: And that's just tax and cost and nothing material [ph].
Mark Bristow: It will improve the cost if anything. It will improve efficiencies. And what it does for us - and the key one is that is that it reduces the time that you take to clear the belt from the waste and all. So when you change over the belt, you haul waste and you clear it quickly otherwise - what was happening is that - and definitely we had bins on the transferring playing and then you end up with a top line of material that you have to clear before you can transition to the other material. So it's made the whole underground more efficient.
Unidentified Analyst: Okay. Thank you. And my second one is just on Kibali. How confident are you practice so far challenges in [indiscernible].
Mark Bristow: Well, look at the numbers. They are 86, we would last year, 84 still upside now. Remember this is not just - once we go dominantly underground, we know that ore-body is much friendly as for cost instance. So we are comfortable with process before. The key thing about the sulfide is managing the true, so we've got - right now we've got - if you got 100% sulfide, you manage to single crushing circuit and then into the two most. And if that's managing that you change the basically, you change the whole management of the circular because now you've got fresh ore and you'd have, let's say, so less different densities. The whole material handling across the plant is very different and we've gone still the correct equipment to manage that and we've got a lot better at it and we're still managing those complex ores that management can finally use this as an excuse to explain the situation in when we said that last quarter operational issues. So anyone else looks at the process, there is really and I'm pretty sure with success.
Unidentified Analyst: Thanks.
Amos Fletcher: Hi. It's Amos Fletcher from Barclays. I just wanted to ask couple of questions. Firstly on Tongon. You were probably still relatively low growth going on the invested part of the CapEx over the last couple of years in the middle surface and particularly, what sort of recovery should we expect as we move forward?
Mark Bristow: So I think we're there. We're there and thereabouts. Again 86 is the upper end of that recovery, where the grades have been lower and the one portion of the southern pit more and that's the big issue. We still haven't upgraded our oxygen plants, which is a definitely impacted recovery and that's something that we presume at the moment and still because the oxygen because resolved oxygen in the process in Tongon is key to recovery. But I'm pretty sure we'll continue to improve. We are comfortable of getting to that - the big projects for me is the 4.5 million ton throughput and we're sitting at about 4.4 at the moment. And we've got understand that on the final delivery of that and I'm pretty comfortable that we have excellent view on this because once you get that you get the run rate. As soon as the run rate starts lifting up, you have long run times, seven days. You get the recoveries up. So this is complex process. Every time you have to stop the process in plant because of for float circuit [ph] and you impact the recoveries over time. So fundamentally I think where they are at design.
Amos Fletcher: And then I was just going to quick follow-up on Kibali, just with respect to the risk around the ramp up in the fourth quarter. Do you think you've developed this ore on view issues around on the balance?
Mark Bristow: Mining, engineering and project narratives, filtering and controls and lot of that. So that's the ingredient. It's about every day we have a meeting every morning and it's about those shortages and controls. This is a big project. Randgold doesn't go fast into those targets. And then I have - and it's a stressful time. I get these emails from senior executives saying sort of messaging. And I say - I don't read those message all of a sudden we are scheduled and you are critical both and your plans to deliver on your plan. And that's the way it is. So there is lots of - there is some upside. And I think we've planned this down to - we just hold between the declines and the shaft development, so that was the key component. We've got two critical parts raise those. That's been a challenge. With rain pouring every now and then, you get some of these stuck in the hole. Just being to one of those. The two critical past we've managed on fact. So we got some flexibility in scheduling around the infrastructure to make sure everything comes up at the same time. The critical point, as I pointed out in my presentation, is there is a period where you wait for the paving to hear and you can't really do much. You have to have it done by this.
Amos Fletcher: Thanks.
Mark Bristow: Okay. We have exhausted. The first things we have, as is customary, and the teams here and we've got couple of our corporate guys sitting at the back row there and I will be hanging around and Graham of course now loud and Chris will talk to you and continue the conversation. Thanks for actually attending.